Operator: Greetings, and welcome to the SeaChange International Fourth Quarter and Fiscal Year 2014 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. (Operator Instructions) I will now turn the conference over to your host, Monica Gould, Investor Relations for SeaChange. Thank you, Ms. Gould. You may now begin.
Monica Gould: Thank you, Shane. Good afternoon, everyone, and thank you for joining us. SeaChange released results for the fourth quarter of fiscal 2014, ended January 31, 2014, today after the market closed. If you would like a copy of the release, you can access it on the IR section of our Web site at www.schange.com/ir. With me on today's call are Raghu Rau, Chief Executive Officer; and Tony Dias, Chief Financial Officer. This call is being webcast and will be archived on the Investor Relations section of our Web site. Before Raghu begins, I'd like to remind you that the information we're about to discuss today may include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on current expectations that are subject to a number of risks and uncertainties that may cause actual results to differ materially from expectations. These risks are outlined in our SEC filings, including our Annual Report on Form 10-K, which was filed on April 10, 2013. Any forward-looking statement should be considered in light of these factors. Additionally, this presentation contains certain non-GAAP or adjusted financial measures as defined by the SEC. Per SEC requirements, we have provided a reconciliation of these measures to the most directly comparable GAAP measures in tables attached to the press release. Any redistribution, retransmission or rebroadcast of this presentation in any form without the expressed written consent of SeaChange International is prohibited. And with that, I'd like to turn the call over to Raghu.
Raghu Rau: Thank you, Monica, and good afternoon everyone. Welcome to the SeaChange earnings call for the fourth quarter of fiscal 2014. On today's call, we will cover our full fiscal year and fourth quarter performance, provide an update on the company's strategic plan, and discuss our outlook for the first quarter and full year 2015. During the fourth quarter, SeaChange recorded revenues of $35.6 million, down 6% from the third fiscal quarter led by a 28% decline in product revenue. Non-GAAP operating earnings of $0.02 per share declined sequentially reflecting the decrease in product revenues. As we noted during our preliminary results conference call a few weeks ago, this disappointing performance was the result of delays and expected orders from customers primarily in the Americas combined with continued delays in final product acceptance. These results were exacerbated by a significant sequential decrease in Legacy products, which more than offset the double-digit growth we recorded in new products. We continue to believe that these are short-term challenges that reflect the timing issue between when Legacy revenue falls off and when new product revenues begin to ramp up more substantially. To give you some context, I would like to review the progress we have made in transitioning our revenue base since we implemented our transformation strategy. During the first quarter of fiscal 2012, Legacy products accounted for approximately 75% of total product revenue. This revenue base has declined by over 20% in each of the last two fiscal years accounting for a loss of $10 million to $15 million of our total annual revenue base. At the same time, we have successfully grown our new products from 25% of product revenue to over two-thirds in the fourth quarter of fiscal 2014. As we have previously noted, we believe that fiscal 2015 will be the third and final year of our transition after which Legacy product declines are unlikely to be material. Despite the short-term challenges, we have made some significant progress in executing on our strategic growth initiatives since the beginning of fiscal 2014. We established SeaChange's next generation Adrenalin multiscreen television platform and Reference Design Kit-based Nucleus video gateway software as leaders in the market. We also began to transition some of our Legacy spot advertising customers to our upgraded Infusion platform. I would like to now review some of our key product and customer achievements over the last fiscal year. In the Americas, one of our largest customers went live with Adrenalin for its multiscreen service, and we achieved Adrenalin design wins with several additional service providers including Axiom upgrades. In EMEA, two new telco customers launched Adrenalin based services. We also achieved three design – additional design wins for Nucleus, including two service provider and one new gateway equipment vendor, and we reached an agreement to port our RDK based video software to an additional Tier-1 vendor set-top box. We also received an order to upgrade a large North American service provider from its Legacy SeaChange advertising platform to the Infusion advanced advertising platform. Further, we announced 11 customers globally for our next generation content management system products, asset flow, and ad flow. Moreover, we continue to invest significantly in research and development to enhance the features and functionality of our offerings and expand the next generation product portfolio. In the fall, we introduced cloud Adrenalin, a SaaS based cloud-hosted multiscreen video solution targeted at midsized and smaller providers. We expect to commercially launch the platform in the second half of fiscal 2015. In summary, we’ve continued to execute on our strategy to transition SeaChange from primarily a hardware media services and legacy software vendor to a supplier of next generation multiscreen video software and services to the service provider sector. While our revenues for the fourth quarter and full year came in below our initial guidance range, we remain on track to receive the delayed customer acceptances that contributed to this revenue shortfall during the first half of fiscal 2015. We also continue to expect to receive the majority of orders we had anticipated earlier over the course of fiscal 2015. We believe we are creating significant long-term value for our shareholders both with the design wins we already have in place and those we expect to receive most notably for our Nucleus video gateway software in which we continue to invest. As such, we remain confident in the strength of our market position and long-term growth potential. Our long-term target model remains unchanged with gross margins at or above 60% and operating margins at approximately 15%. Before I turn the call over to Tony, I'm pleased to announce that Shiva Patibanda, the General Manager of our In Home business has been appointed to the additional role of Senior Vice President and Chief Technology Officer. In this newly created role, Shiva will lead the company's technology strategy and contribute to its overall strategic growth initiatives. Tony will now walk you through some of the financial details of the quarter and provide some color on our outlook for this year. Tony, please go ahead.
Tony Dias: Thank you, Raghu. I'll start by reviewing our fourth quarter and full year results before commenting on our outlook for fiscal 2015. For the fourth quarter of fiscal 2014, total revenue declined 6% sequentially driven by significant declines in legacy software product revenue that Raghu mentioned earlier. These declines were primarily related to Legacy middleware and back office products. As a result, total product revenue in the fourth quarter declined 28% sequentially to $9.9 million. For the full fiscal year, new product revenue accounted for 45% of total product revenue, up from 37% in fiscal 2013. Service revenue rose 7% sequentially to $25.7 million in the fourth quarter and accounted for 72% of total revenue. This growth was led by a large system integration project in Europe. Our blended gross margin decreased to 51% on a non-GAAP basis from 56% in the third quarter reflecting the higher mix of service revenue in the quarter. Non-GAAP operating margins declined to 3% from 8% in the prior quarter while non-GAAP operating earnings per share decreased to $0.02 per diluted share from $0.09 in the third quarter. International sales rose 5% sequentially and accounted for 60% of total revenues in the fourth quarter. On a full year basis, total revenues declined 7% to $146.3 million due to a 15% decline in product revenue that was driven by a decrease in legacy product revenue. Service revenue remained steady at $91.6 million and accounted for 63% of total revenue. Maintenance revenues represented approximately half of our service revenue in fiscal 2014 and a third of our total revenue base. Our balance sheet continues to be very strong with a cash balance of $128.1 million at year end. Towards the end of the fourth quarter, we implemented a 10b5-1 plan to execute on our $25 million stock buyback authorization. We began to purchase stock under this authorization during the first quarter fiscal 2015 and will report our purchases when we announce our first quarter results. Now, I would like to turn to our outlook for fiscal 2015. As Raghu mentioned on our call a few weeks ago due to increased lead times and customer orders and acceptances along with continued Legacy product revenue declines, we expect fiscal 2015 revenue to be flat to down for the full year. We expect our Legacy product revenue to decrease by another $50 million to $70 million over the course of the year and anticipate a decline to be more significant during the first quarter, which is also typically our lowest quarter. Although revenue in operating margins during the first half of the year expected to be lower than corresponding period in fiscal 2014, we are targeting higher profitability for the fiscal – for the full fiscal year driven by the growth in next generation products and reduction in incremental cost related to the rollout of some large development projects. Thank you. With that I would like to hand the call back to Monica.
Monica Gould: Thank you, Tony. Shane could please provide instructions for the Q&A session.
Steven Frankel - Dougherty & Company: Hey, good afternoon. I wonder if we might start by – if you could tell us how many Adrenalin installs are alive, how many do you have in backlog, and of that backlog, how many of those projects are slated to be installed in fiscal 2015?
Raghu Rau: Okay. I will give you some high level in the numbers here. We believe about – we’ve announced over 45 design wins for Adrenalin, of those we believe at least 60%, 65% are in various stages of installation or completion. The balance are – some have yet to get acceptance, some have yet to be fully completed, and some have yet even to be began, they are in the mobilization phase.
Steven Frankel - Dougherty & Company: Can you get to flat revenue in fiscal 2015 if these implementation delays that you have for the last several quarters continue past Q2?
Raghu Rau: Question was can we be flat? I mean the guidance we have provided is flat to down for the full year.
Steven Frankel - Dougherty & Company: Okay. What does your guidance assume about these delays, do they assume that these delays go away in the back half or that this problem could linger longer?
Raghu Rau: No. We expect these delays related to acceptance to be really minimal after the end of the third quarter, and that is because by that time we have completed most of the integrations with the other third party vendors whom we may not have worked with in the past.
Steven Frankel - Dougherty & Company: Okay. And what percentage of fiscal 2015 should we expect to come from new products?
Raghu Rau: We believe new products will be over two-thirds of our total revenues.
Steven Frankel - Dougherty & Company: And where is the head count today, and how has that changed over the last quarter?
Raghu Rau: Head count has been – comparing to Q4 to Q3 or Q4 to Q1?
Steven Frankel - Dougherty & Company: Yes. Q4 to Q3.
Raghu Rau: Tony, do you know, I don't think there was any major change.
Tony Dias: Yes. We haven't changed much.
Steven Frankel - Dougherty & Company: Okay. And then last question, can you give us some idea of how severe a year-over-year decline in revenue we should expect in Q1? Should it be down 20% or what?
Raghu Rau: Well, because of the delays in acceptances and longer lead times of the receipt of orders, we thought it was prudent not to provide specific guidance for the next few quarters, because as we mentioned earlier Steve, we have about 30% of our business we know we are going to get. I mean it's very predictable. There is another 30% that we have good visibility too, because these are based on design wins that we are rolling out. However, we are not certain that in all the cases we will get final acceptance in time for the quarter. There is another 40% which is booked and shipped in the same quarter primarily related to capacity upgrades in the new releases and those kinds of orders which we have less visibility too because the lead times for those are very short.
Steven Frankel - Dougherty & Company: Okay. Thank you. I will let someone else ask some questions.
Operator: Thank you. Our next question comes from Hamed Khorsand from BWS Financial.
Hamed Khorsand - BWS Financial: Hi. Let me just start off with Nucleus. I mean is there an update on the visibility you have there?
Raghu Rau: The product is already in production in the field now, and we believe it’s performing well. Other than that, I don't think I can give you much more guidance in terms of the product.
Hamed Khorsand - BWS Financial: Well, I mean this has been a sore spot for you, though, right? I mean implementation has been down, slow to progress, so it's been two months since you provided outlook for Q4, and the stock went down, so has there be a progress in those two months from your standpoint?
Raghu Rau: Oh, yes. We believe there has been very significant progress in terms of all the feature completion in terms of various features that the customer required. I mean first install, several of those features are now already available in Nucleus. We have over 1000 features that we have developed for Nucleus.
Hamed Khorsand - BWS Financial: Okay. But why the hesitation not even to bring it up on this call though, you have been – you made comments were all about Adrenalin and Legacy, but zero on Nucleus. So why the hesitation there?
Raghu Rau: Oh, no, sorry. I did mention about Nucleus. I mentioned that we had three design wins in the last year for Nucleus in addition to the two that we had already had, and that was two service providers and equipment vendor.
Hamed Khorsand - BWS Financial: Okay. And just a follow up on what Steve brought up on the question, the Street has been too excited here with numbers, and now you guys aren’t really providing guidance. But, I mean I think it’s prudent just to really just have the Street be aware of what kind of downfall we are expecting in Q1. And so, I think the Street would appreciate that you guys be a little bit more forward with the – what we are expecting here as far as Q1 decline goes. And also secondly, what kind of expectation should we have on R&D expenses not only in Q1 but for the full year?
Raghu Rau: Yes. As far as Q1, Hamed as I mentioned, because of the situation over the next few quarters in terms of potentially delayed acceptances and delays in some of these orders that we have talked about, we thought it was prudent not to give more specific guidance. We also have indicated that over the course of the year, there will be about up to $17 million in Legacy declines, and we have also indicated that you know the first quarter is seasonally and typically the low quarter of the year.
Hamed Khorsand - BWS Financial: And then comments on R&D please?
Raghu Rau: Yes. As far as the R&D is concerned, we have indicated that we expect some of the large development projects to be largely complete. And therefore, we will be able to reduce our overall R&D expenditure by reducing the incremental expenditures that we have been incurring over the last couple of years.
Hamed Khorsand - BWS Financial: Okay. Thank you.
Operator: Thank you. Our next question comes from Michael Kupinski from Noble Financial. Mr. Kupinski your line is live. You may be on mute, so, could you please un-mute your phone.
Michael Kupinski - Noble Financial: Hi. Can you hear me now or no?
Raghu Rau: Yes. We can hear you.
Operator: We can hear you now.
Michael Kupinski - Noble Financial: Oh, cool. Okay. Thank you. In terms of the international revenue in the quarter, can you just give me the percent again? I may have missed that.
Raghu Rau: 60%.
Tony Dias: 60%.
Raghu Rau: 60%.
Michael Kupinski - Noble Financial: Okay. And just following up on an earlier question about the Nucleus product. Has the pace of the rollout for Liberty Global, has that picked up a little bit in the last month? I know that they had a little bit of a glitch, but any thoughts on, how the pace of the rollout has been progressing?
Raghu Rau: Yes. Mike, I really don't want to speak for the customer here, other than to say that, they have publicly indicated that, they were going to launch in about 45 days in a particular country, and we're certainly supporting them in that launch.
Michael Kupinski - Noble Financial: Okay. And then, I suppose that typically as it is in the summer months for cable operators that, again, sort of seasonal soft spot for them. But I was just wondering, have you gotten any feedback from cable operators, in terms of these new feature sets and products, in terms of the acceptance, in terms of anything about customer, satisfaction, or anything that in terms of the product itself, would give you reasons to be optimistic about the fiscal second half of year here?
Raghu Rau: Yes. I think we've got very good customer feedback – performance of Adrenalin product, wherein one customer case, we even got a bonus payment for our performance. And as far as new case is concerned, yes, it's an excellent product, the customer really likes what we have. We have as far as Infusion, our advertising platform, it's already in operation. And again, it's in some cases, doing as much as 2 million ad transactions a day, it's also being used by one of the – for the one of the world's largest advertising operations here in the U.S., by a major telco.
Michael Kupinski - Noble Financial: And you have the cable operator shared with you any feedback in terms of improvement in ARPU or anything like that at this point?
Raghu Rau: No. But we generally, no, they see the trend in terms of increased VOD, they see the trend for customer to want to be able to do both linear and VOD on the same platform, and be able to access multiple content sources. As far as monetization of multiscreen, that hasn't happened we believe and as quicker way as the popularity of multiscreen is happening. So multiscreen is really becoming popular, people, while they're watching TV, there's a statistic that says about almost 67% of people in the age group of 17 to 34, while they're watching TV, they're also with a companion device. So that is getting very popular. But I'm not sure that monetization of that by the service provider has been very significant yet. But I think it has a lot of promise for the future.
Michael Kupinski - Noble Financial: Okay. Last question, in terms of you'd mentioned that you added about 1,000 feature sets to a Nucleus product which now I believe you're probably offering with the Nucleus gateway. I was wondering in terms of feature sets or product offerings and things like that maybe you need in terms of maybe seeking acquisitions, any thoughts about acquisition at this point, are they more likely, less likely or where are you at on your acquisition strategy?
Raghu Rau: Right. We're evaluating our capital allocation strategy looking at buybacks as we've mentioned earlier as well as looking at some accretive acquisitions and some technology tuck-in acquisitions. So we're looking at all of those three different means to use our capital productively.
Michael Kupinski - Noble Financial: Sorry. One more final question in terms of the buyback there were some thoughts that some investors are trying to, I guess, trying to push you to make a larger buyback. Certainly, you have the cash position, the balance sheet and generating free cash flow to do it. What are your thoughts about maybe expanding the share repurchase authorization given that the stock is where it is today?
Raghu Rau: Right. I mean, certainly the Board will consider this as part of the discussion on the capital allocation strategy Mike. As Tony mentioned earlier, we had instituted a plan. We're buying back our stock at present in this first quarter and we will announce the extent of our purchases when we have our first quarter conference call.
Michael Kupinski - Noble Financial: Okay. Thank you. That's all I have.
Raghu Rau: Thank you, Mike.
Operator: Thank you. (Operator Instructions) Our next question comes from Todd Mitchell from Brean Capital.
Todd Mitchell - Brean Capital: Hi. Thank you. First of all, in terms of the Nucleus products. So you have five customer acceptances that you talked about, three of which you gained last year, two previously. We know that Comcast is not a licensing bearing relationship in terms of that product. Can you tell us if you've gone rev rec on any of these others four relationship yet?
Raghu Rau: Yes. We have gone revenue recognition, obviously not 100% but we have gone revenue rec on at least two others.
Todd Mitchell - Brean Capital: Okay. And were those in the fiscal 2014 numbers?
Raghu Rau: Yes. They were partially in the fiscal 2014 numbers.
Todd Mitchell - Brean Capital: And the way that these deals are set up, they basically buy licenses to do X number of deployments, is that correct? So when these initial deployments get started, you're going to have some time here before they come back to you for more licenses until they use the first batch up so to speak?
Raghu Rau: Yes. The two components, three components to the revenue are Nucleus. One is the professional services fees that we get paid to build the customization features and things that are specific for their environment. Number two is, they buy licenses per household. In addition they pay us maintenance fee after the product is launched. So after they pay us, let's say an initial fee for the first licenses as the product gets deployed to multiple households then they pay – have to buy additional licenses and obviously, the maintenance increases as the number of installed households passed has increased.
Todd Mitchell - Brean Capital: Okay. So when I – I guess to be clear when I say rev rec what I mean is, has anybody hit the licensing payment stage.
Raghu Rau: Yes. We have got some prepaid licenses. We have not got anything beyond that in terms of license fees. So it's been largely professional services fees associated with Nucleus so far.
Todd Mitchell - Brean Capital: Okay. And in terms of the – I believe 27 operators globally who have expressed the desire to work with the RDK strategy can you – five we take away from that because they've already been engaged to the point of visibility. Can you talk about the percentage of the remaining operators. I guess can you talk about the percentage of the remaining operators, which you are engaged at a level where you're hopeful you'll get business from them?
Raghu Rau: Yes. We are engaged with several of them including sometimes through the set-top box vendor who comes to us with request to port our software on to their box and to be able to provide a solution to these service providers. So I would say we are engaged in multiple levels, but a number of those service providers. However, I believe the close in terms of our own discussions with a much more limited set we believe we can do about another two maybe a three design wins for this fiscal year.
Todd Mitchell - Brean Capital: Okay. So three more design wins on Nucleus and that would have a sort of the same sort of 12 to 18 months before they go into rev rec and the licensing?
Raghu Rau: It should get progressively shorter, because a lot of the feature set has been built up. But, depending on the chipset that they choose and the availability of the timing of the chipset availability, it can be between 9 months to about 15 months.
Todd Mitchell - Brean Capital: And when you work with the OEM and not directly with the service provider, are you still have the option of getting the maintenance fee on the backend?
Raghu Rau: Yes. We would provide Tier 2 and Tier 3 support in those cases.
Todd Mitchell - Brean Capital: Okay. And so, lastly, I guess here, on the outside of Comcast and the four others which you are already basically at the point of customer acceptance or can you talk about how many subs this would be applicable to?
Raghu Rau: Because that they're working, sorry, go ahead.
Todd Mitchell - Brean Capital: Just in aggregate how many subs those four operators would have?
Raghu Rau: It would be, I mean, because we're working with some of really large operators, I mean, the total number of subs that they have would probably exceed $30 million.
Todd Mitchell - Brean Capital: And in normal course of deployment they should do 20% of those in a year?
Raghu Rau: Yes. That all depends on the success of their rollout, the marketing push, the countries that will be bit speculative to say.
Todd Mitchell - Brean Capital: Okay. And can you also say has there been any instances where Adrenalin customers' acceptance has been delayed because they've come back to you and asked for a Nucleus pitch as well?
Raghu Rau: Yes. There are at least two customers, potential customers that we're working with who want to do a combination of Adrenalin and Nucleus.
Todd Mitchell - Brean Capital: And were they already are – were they already sort of announced design wins on the Adrenalin inside?
Raghu Rau: No, no.
Todd Mitchell - Brean Capital: Okay. And what does, I mean, what does that do in terms of the per capita economics if you get both?
Raghu Rau: In both the cases, I mean, obviously, don't want to talk too much about pricing here, but they are in the low-single digits, mid-single digits that's the range of the licensing fee for Adrenalin and for Nucleus.
Todd Mitchell - Brean Capital: So a customer that takes both could essentially be paying twice as much as a customer that takes one?
Raghu Rau: No. Because the pricing levels for Adrenalin and Nucleus are slightly different.
Todd Mitchell - Brean Capital: Okay. Okay. All right. Thank you very much.
Raghu Rau: Okay. Thank you, Todd.
Operator: Thank you. Our next question comes from the Jon Gruber from Gruber & McBaine.
Jon Gruber - Gruber & McBaine: Hi. Good afternoon. I have a point of clarification here. Did you say that in the fourth quarter of 2013, Legacy was one-third of revenue and new business – new products was two thirds? Is that correct, that's what you said?
Tony Dias: 37% to 45%.
Jon Gruber - Gruber & McBaine: What, I'm sorry?
Tony Dias: 37% in last year fiscal 2013 to 45% at the end of fiscal 2014.
Jon Gruber - Gruber & McBaine: Okay. I'm confused. You said one-third. So what is the real number for the full year, why don't you give me the fourth quarter and then the full year for Legacy?
Tony Dias: So for the last year, for fiscal 2013 37% of – was new products and for the full year fiscal 2014, it was 45%.
Raghu Rau: And I think you may have been referring to just the Q4, we said it was about 65% was new product.
Jon Gruber - Gruber & McBaine: Yes. That was. Yes. That was my question. So 60%, you said two thirds, one third, but 65%, 35%, and then for the year, new products were, you said.
Raghu Rau: 45% for the year.
Tony Dias: 45% for the full year.
Jon Gruber - Gruber & McBaine: Okay. 45% for the full year. Okay. But then, it seems that the problem isn't legacy, and then you said that this year, did you say that legacy will be down 15% to 17%, or did you say it will be down $17 million?
Raghu Rau: Million. We said, $15 million to $17 million.
Jon Gruber - Gruber & McBaine: $15 million to $17 million – down $15 million to $17 million. Okay.
Raghu Rau: Which is about, which has been about the rate about 10% of our annual revenues over the last couple of years.
Jon Gruber - Gruber & McBaine: So then the real – it seems like the big problem is not – Legacy is a problem, but the problem is the fact that the new products, which are now obviously bigger than the Legacy, or almost as big, just not growing as much as you thought. Is that correct?
Raghu Rau: It's grown at double digits between Q3 and Q4. However, that's not been adequate to offset the Legacy decline. And we don't expect any further legacy declines that are material at the end of this year. And partly, I mean some of the reasons as we have outlined for not getting additional revenues has been some delays related to some product acceptances, delays due to some orders being delayed and finally delays of some design wins.
Jon Gruber - Gruber & McBaine: Thank you
Raghu Rau: Thanks Jon.
Operator: Thank you. (Operator Instructions) We have a follow-up question coming from the line of Todd Mitchell from Brean Capital.
Todd Mitchell - Brean Capital: In terms of the fourth quarter miss, and the – you have said that a certain portion of this was product – products that didn't materialize that you expected. I believe, you know said that – the portion of that was next-gen portion of that was prior gen. And in the prior gen, I mean in the next-gen product, that didn't materialize in the fourth quarter, I'm assuming that's a renewable of a license, because the operator hasn't pushed it out to what they've got. They basically installed, how many they bought and now they're going to get some more, and that didn't happen. Why doesn't that pop into the first quarter? And why doesn't that actually help the next-gen numbers in the first quarter?
Raghu Rau: In fact, it will. We do expect some of those others to come through over the course of the year, some of which will come in the first quarter. But it doesn't just – it's have to be additional license. It is partly for instance an upgrade the customer wants. And that they decide, they don't either have the budget for, or they've delayed it due to, I mean, in the last quarter there were some reasons related to some special event programming, that delayed some things, but that can come in the first quarter. They're some that didn't have a budget that gets delayed down – further down the road, when they do receive the budget to be, it was to add more capacity.
Todd Mitchell - Brean Capital: Okay. So then in the instance where it's a delay or they didn't read upon licensing. Then I can understand it's pushed out of fourth quarter into 1Q. Any forecast you had in next year for them doing, renewing again, say in next year's fourth, fiscal 2015 you get pushed into 2016. And so it's not a delay in fiscal 2014 wasn't added to 2015, but if it's an upgrade why isn't that or is it additive to 2015 as opposed to 2014.
Raghu Rau: I'm not sure I fully understood that. But...
Todd Mitchell - Brean Capital: I mean, I guess, if there is products that are on a regular run rate for purchasing and –
Raghu Rau: Yes.
Todd Mitchell - Brean Capital: If customer delays it, I can understand how it would push, next year's purchases out of into the following year, right. And so there is no, you're just basically pushing out the revenue stream from that product. But if a customer has a specific one off project like a feature set that they want to install on a custom basis and they delay it from last year into this year, is it additive to this year or not as a --
Raghu Rau: It is included in our plan for this year. And it offsets the $15 million to $17 million Legacy decline. So we've considered both of those in providing you this guidance.
Todd Mitchell - Brean Capital: Okay. And in part of this Legacy decline, is there a dynamic where you're losing maintenance contracts for customers that they expect to upgrade?
Raghu Rau: No. Maintenance has actually been in spite of the decline in overall revenue the maintenance was slightly up this year compared to last year. But it's not very significantly up. But it's relatively constant, and that doesn't include a lot of the maintenance for the existing new products that we are now launching. And, it's one year after the launch that, we start getting maintenance revenues.
Todd Mitchell - Brean Capital: Okay. Thank you.
Raghu Rau: One year after final acceptance.
Todd Mitchell - Brean Capital: Okay. Thank you.
Operator: Thank you. At this time, we have no further questions, I will turn back the call over to Raghu Rau for closing comments.
Raghu Rau: Yes, I'd like to thank all of you for joining us today, and for your continued support and interest in SeaChange. I look forward to seeing some of you at the NCTA Cable Show in Los Angeles at the end of this month where, we will feature the latest developments in our next generation – products. So thank you. And have a great day.
Operator: Thank you. This does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation.